Operator: Welcome, and thank you for standing by. [Operator Instructions] Today's call is also being recorded. If you have any objections, you may disconnect at this time. I would now like to turn today's meeting over to your host, Mr. Whit Kincaid. Thank you. You may begin.
Whit Kincaid: Good morning, everyone. Thank you for joining us on Mueller Water Products' Third Quarter Conference Call. Yesterday afternoon, we issued our press release reporting results of operations for the quarter ended June 30, 2024. Copies of the press releases are available on our website, muellerwaterproducts.com. I'm joined this morning by Marietta Zakas, our Chief Executive Officer; Paul McAndrew, our President and Chief Operating Officer and Steve Heinrichs, our Chief Financial Officer and Chief Legal Officer. Following our prepared remarks, we will address questions related to the information covered on the call. As a reminder, please keep to one question and a follow-up and then return to the queue. This morning's call is being recorded and webcast live on the Internet. We have also posted slides on our website to accompany today's discussion. They also address forward-looking statements and our non-GAAP disclosure requirements. At this time, please refer to Slide 2. This slide identifies non-GAAP financial measures referenced in our press release, on our slides and on this call. It discloses the reasons why we believe that these measures provide useful information to investors. Reconciliations between non-GAAP and GAAP financial measures are included in the supplemental information within our press release and on our website. Slide 3 addresses forward-looking statements made on this call. This slide includes cautionary information identifying important factors that could cause actual results to differ materially from those included in forward-looking statements. Please review Slides 2 and 3 in their entirety. During this call, all references to a specific year or quarter, unless specified otherwise, refer to our fiscal year, which ends the 30 of September. A replay of this morning's call will be available for 30 days at 1-800-813-5525. The archived webcast and corresponding slides will be available for at least 90 days on the Investor Relations section of our website. I'll now turn the call over to Martie.
Marietta Zakas: Thanks, Whit. Good morning, everyone. Thank you for joining our earnings call. I'll start with a brief overview of our third quarter results. I am pleased with our performance this quarter, as we reported record quarterly results that exceeded our expectations. We achieved record quarterly net sales with 9.2% year-over-year growth with healthy order levels during the quarter supported by steady end market demand. Our commercial and operational teams overall executed at a high level including delivering benefits from manufacturing and supply chain efficiencies. Thanks to their great work, we delivered our second consecutive quarter with a gross margin above 36% and at 620 basis points year-over-year improvement. During the quarter, we continued to maintain our disciplined approach to SG&A spending. This discipline, along with a record quarter for net sales and a strong gross margin resulted in record adjusted EBITDA of approximately $85 million, which represents an increase of nearly 57% compared with the prior year. We also achieved record quarterly adjusted net income per diluted share of $0.32, an increase of around 78% compared to the prior year quarter. In addition to driving efficiencies to expand gross margins, our teams are focused on growing free cash flow through working capital improvements with disciplined capital spending. They also continue to look for opportunities to invest in our business to drive organic growth in sales, margins and cash flow. As a result, we increased our year-to-date free cash flow more than $100 million compared with the prior year period. I am highly encouraged by the progress our teams have achieved this year based on their unrelenting focus on customer service and operational efficiency. Our teams continue to perform at an improving level while controlling costs and driving manufacturing, material and freight efficiencies. These results include strong performance at both our iron gate valve and hydrant manufacturing facilities. The improvement in our margins, which are above pre-pandemic highs, is a testament to the operational progress we've made to date. Our gross margin for the latest 12 months is above 34%, and our adjusted EBITDA for the latest 12 months reached a record high with more than a 21% adjusted EBITDA margin. We are on track to achieve record annual results and accordingly are raising our guidance for 2024 net sales and adjusted EBITDA. This guidance includes nearly a 36% annual gross margin at the midpoint of our updated annual guidance range for net sales and adjusted EBITDA growth. While the external environment remains dynamic, we believe overall end market demand the rest of the year will remain resilient, and we are confident in our team's ability to execute while we look forward to 2025. We focused on ramping up our new brass foundry and continue to expect to close our old brass foundry by the end of calendar 2024. With this tailwind and our ongoing operational improvements, we will look to leverage our leading market positions and investments to drive future sales and margin growth. With that, I'll turn it over to Steve.
Steve Heinrichs: Thanks, Martie, and good morning, everyone. For the third quarter, consolidated net sales of $356.7 million increased 9.2% compared with prior year, mainly due to higher volumes of Water Flow Solutions and higher pricing across most product lines, which were partially offset by lower volumes at Water Management Solutions. As we've mentioned in earlier quarters, our lead times and backlogs for iron gate valves and hydrants are normalized. So the differences in year-over-year volumes between our segments are primarily related to the timing of backlog normalization and channel and customer destocking in 2023 for these products. In the third quarter, gross profit of $131.4 million increased 31.3% compared with the prior year. Gross margin of 36.8% increased 620 basis points compared with the prior year and reflects the second consecutive quarterly gross margin above 36%. The year-over-year increase was driven by favorable manufacturing performance, increased volumes and favorable price cost which were partially offset by the impacts of Israel-Hamas war. Similar to last quarter, the improvements in manufacturing performance were mainly driven by improved productivity, including labor, material and freight efficiencies. For the quarter, total SG&A expenses of $61.5 million were $900,000 higher than the prior year. Lower personnel-related costs associated with our restructuring activities and lower third-party fees were more than offset by higher incentive costs and inflationary pressures. Operating income of $67 million increased 88.2% in the quarter compared with the prior year. Operating income includes strategic reorganization and other charges of $2.9 million in the quarter, which have been excluded from adjusted results. These are primarily related to our leadership transition, severance and certain transaction-related expenses as well as a noncash asset impairment at Water Management Solutions. Turning now to our consolidated non-GAAP results for the quarter. Adjusted operating income of $69.9 million increased 77% compared with the prior year. The increase was primarily due to favorable manufacturing performance, increased volumes and favorable price cost, which were partially offset by impacts of the Israel-Hamas war on Water Management Solutions. Our adjusted operating margin improved 750 basis points to 19.6% compared with the prior year. This margin also yields a sequential improvement of 70 basis points and is the highest quarterly margin since the third quarter of 2016. Adjusted EBITDA of $85.2 million increased 56.6% in the quarter. Our adjusted EBITDA margin improved 720 basis points to 23.9%. This is a 60 basis point sequential improvement and also equals the highest quarterly margin since the third quarter of 2016. Historically, the third quarter has been our strongest quarter, reflecting the seasonality of the business. For the last 12 months, adjusted EBITDA was $267.6 million or 21.1% of net sales, a 690 basis point improvement compared with the prior 12-month period. Our third quarter adjusted net income per diluted share of $0.32 increased to 77.8% compared with the prior year and is another quarterly record. Turning now to quarterly segment performance, starting with Water Flow Solutions. Net sales of $208.1 million increased 38.6% compared the prior year primarily due to higher volumes of iron gate valves as well as higher pricing across most product lines. With normalized lead times, strong net sales growth for iron gate valves benefited from a healthy level of orders as well as lapping low orders and shipments in the prior year quarter, which was primarily due to channel and customer inventory destocking. Adjusted operating income of $57.8 million increased 355.1% in the quarter. The benefits from favorable manufacturing performance, increased volumes and favorable price cost more than offset higher SG&A expenses. Adjusted EBITDA of $66.9 million increased to 220.1% and our adjusted EBITDA margin also improved significantly to 32.1%. This is a record high quarterly adjusted EBITDA margin for the segment. Turning to quarterly results for Water Management Solutions. Net sales of $148.6 million decreased 15.8% compared with the prior year. This was primarily due to lower volumes across most product lines, partially offset by higher pricing across most product lines. Net sales for hydrants had a lower volume compared with the prior year quarter for the reasons we discussed earlier as our lead times are now normalized, and we experienced healthy order levels again in this quarter. As a reminder, the prior year quarter's sales benefited from very strong hydrant shipments as we serve an elevated backlog. Adjusted operating income of $26.9 million decreased 32.8% in the quarter. The benefits from lower SG&A expenses and favorable price cost were more than offset by lower volumes and the impacts of the Israel-Hamas war. Adjusted EBITDA of $34 million decreased 28.6% and adjusted EBITDA margin declined 410 basis points to 22.to 22.9%. Moving cash flow. Net cash provided by operating activities for the nine month year-to-date period was $149.5 million, an increase of $97 million compared with the prior year period. The increase was primarily as a result of higher net income and improvements in working capital compared with the prior year which includes a smaller increase in inventories. We invested $28 million in capital expenditures through the first nine months as compared with $32.4 million in the prior year period. Our free cash flow for the nine month year-to-date period increased $101.4 million to $121.5 million compared with the prior year, primarily due to higher cash from operations. For the nine-month year-to-date period, free cash flow as a percent of adjusted net income was 105%. At the end of the third quarter, our total debt outstanding was $448.9 million and we had cash and cash equivalents of $243.3 million. Our balance sheet remains strong and flexible with our net debt leverage ratio less than one at quarter end. No debt maturities until June 2029 and our $450 million senior notes at a 4% fixed interest rate. We do not have any borrowings under our ABL at quarter end nor did we borrow any amounts under our ABL during the quarter. I will now review our updated and improved outlook for fiscal 2024. We are increasing our guidance for both consolidated net sales and adjusted EBITDA. We now anticipate net sales will increase between 0.7% and 1.5% compared with the prior year. We believe municipal and new residential construction end markets will continue to be healthy for the balance of the year. The expected sequential decrease in net sales from the third to fourth quarter reflects more normalized seasonality for orders and fewer production days in the fourth quarter. In addition to raising our net sales expectations, we are significantly increasing our guidance for adjusted EBITDA as a result of our strong operating margin performance to date, coupled with our current expectations for end market demand. This outlook includes an expected increase in our total SG&A expenses in the fourth quarter, primarily reflecting higher incentive compensation and personnel investments. We now anticipate that our adjusted EBITDA will be between $271 million and $275 million, which translates to about a 34% to 36% year-over-year increase. Additionally, we are raising our expectations for our free cash flow as a percentage of adjusted net income to now be more than 85% for fiscal 2024 as compared with 62.7% in fiscal 2023. This outlook includes higher capital expenditures in the fourth quarter. With that, I'll turn it back to Martie for closing comments.
Marietta Zakas: Thanks, Steve. I want to highlight a few key items before opening it up for Q&A. I want to thank all our employees around the world for their tireless efforts and passion for helping our customers and communities. They are the reason for our success and why Mueller has become a trusted partner for water utilities for over a century. We are moving forward with confidence and strength with leading brands, improving manufacturing operations, a large installed base and strong channel and end customer relationships. As we look ahead, we are well positioned to benefit from the investment to address the aging North American water infrastructure and the incremental spending associated with the federal infrastructure bill, including lead service line replacement projects. We are focused on executing strategies in four key areas. We will continue to drive operational improvements to deliver the benefits from our capital investments and expand our capabilities. We have positioned ourselves to accelerate sales growth and capture the benefits from favorable long-term end market growth trends through product innovation and service. We are making changes to increase collaboration and teamwork throughout the organization to create a culture of talent development, enabling us to execute on our strategic opportunities and make Mueller a preferred place to work. We are well positioned to execute on our strategies to improve margins and increase free cash flow to support future investments and growth. With our fiscal 2024 coming to a close in a few months, we are refining plans in our strategy for 2025 and beyond with the ramp-up of our new brass foundry close to completion and our improved execution we are confident that we can build on our momentum to continue to drive net sales and margin growth. As a reminder, we look forward to sharing our forthcoming annual ESG report and engaging with stakeholders on our progress as we work to become a more sustainable, innovative and impactful organization dedicated to being a leader in the water infrastructure industry. That concludes our comments. Operator, please open this call for questions.
Operator: Sure. [Operator Instructions] Our first question comes from Bryan Blair with Oppenheimer. Your line is open.
Marietta Zakas: Good morning, Bryan.
Bryan Blair: Good morning, everyone. Very solid quarter. I'm hoping to dig in a little more on what's contemplated in your implied fourth quarter EBITDA guidance. I understand the last few years have been operationally noisy and that might complicates year-on-year in stacked comp analysis, but with operations in a better place, somewhat normalized plus early-stage efficiency benefits that are reading through. It seems reasonable to think about normalized seasonality and sequential trends. And through that lens, there would be a fair amount of upside implied versus the $59 million to $63 million that's not built in the guide. Just looking for more detail on the discrete items that represent sequential headwind versus just continuing to win conservative in the outlook provided?
Marietta Zakas: Very good. Well, let me kick off with that. And as we look out to our fourth quarter, certainly, we'll highlight that it's off a record third quarter that we have just announced as we look into our fourth quarter. We think that although we'll see some year-over-year volumes -- on volume growth. As we think about the sequential moving from the third quarter to the fourth quarter, we do expect that short cycle orders will be sequentially lower. And this is typically what we see with a normalized seasonality. Also in our fourth quarter, we have planned fewer production days. Now as a reminder, this largely impacts the short-cycle products, which are certainly our iron gate valves as well as our fire hydrants. And so that will flow through some on a margin basis. Additionally, as we look out to the fourth quarter, we expect the price cost to again be favorable as we saw in the third quarter, but it could be to a slightly lower degree as we expect some higher inflation looking out to our fourth quarter. I think the other key area highlight is in and around projected or forecasted SG&A as we look to the fourth quarter. As we think about it, both on a sequential basis as well as a year-over-year basis, we do expect SG&A expenses to be higher largely due to higher incentive compensation, as well as personnel investments. We do expect that we will have continued investments to support our repair product lines during the fourth quarter. And then I think that overall captures what we are expecting as we look into our fourth quarter.
Bryan Blair: Okay. Appreciate all the detail there. And I respect that you don't have a fiscal 2025 guide out yet, but based on current end market visibility and your operating position, is there any reason to think that top and bottom line growth is not in play for next year? And then looking forward, given all the work that's been done and the operating momentum that your team has, are you willing to speak to a new medium-term EBITDA margin targets or entitlements margin, anything of that sort?
Marietta Zakas: Yeah. So certainly, as we've said in past years, our 2025 guidance will be provided with fourth quarter earnings amount. But overall, just to address your question, look, we do think we've got the right strategies for sales and margins growth next year. Certainly, looking at the first nine months of 2024 as well as the outlook that we've given for the full year. We think we have demonstrated a notable improvement with our margin performance and are on track to receive a record sales. As you know, we initially expected that we would not see sales growth, largely due to some of the year-over-year comparisons and the fulfillment of the backlog we had in 2023. But I think with our most recent guidance, you see that we are forecasting very low, but sales growth for the full year. The adjusted EBITDA margin has improved notably as we look through the first nine months. And we are certainly seeing improved operational performance with our second quarter with gross margin above 36%. Looking to 2025, I think one of the areas that we've called out is we do expect to be in a position to close our old brass foundry as the ramp-up of our new brass foundry should be substantially complete. We have said we expect that to be at the end of calendar 2024. And once the old brass foundry is closed, that should give us the benefit of what we have been carrying as duplicative costs with both of the breast foundries open. So I think we'll have continued commercial execution. We'll be focused on our price cost, looking to continue to benefit from the operational improvements that we've had. With respect to our end markets, and that's where it could be a little more challenging at this point in time to project where that goes. Thus far, we felt that the municipal repair and replacement market has been fairly resilient with respect to residential construction. I think it's certainly been improved in 2024 versus 2023 and there are at least expectations in the market that we will see an interest rate cut coming up shortly, which certainly could have impact on mortgage rates. We, as a team, remain very focused on what we can control. We are very focused on our overall customer experience, continuing to strengthen our customer relationships. We are continually focused on how we can improve our operations as we go forward. And then I think the one other piece that I want to touch on as we think about 2025 will certainly be any benefits that we might see from the infrastructure bill. As we've said, really didn't expect to see any benefits from that in 2024, looking for that to come sometime probably in 2025 and particularly first with benefits coming from the lead service line replacement. So I think that will be another factor that we could see in 2025.
Bryan Blair: Understood. Appreciate all the color. Thank you.
Operator: Thank you. Our next question comes from Mike Halloran with Baird. Your line is open.
Mike Halloran: Hey, good morning, everyone.
Marietta Zakas: Hey, good morning, Mike.
Paul McAndrew: Good morning.
Mike Halloran: Hey, thanks. So you talked about the resilience of demand. Maybe you could just point to what you're seeing in the marketplace that gives you confidence to say that. I mean, maybe the order commentary in the quarter, so was this about orders? What are the customers saying? What are you seeing from a front log perspective? Funding from a regulatory perspective, what are land developers saying? Any kind of context beyond just the order comments you gave would be great?
Marietta Zakas: Yeah. So let me say what I can do, just to give you probably maybe a little bit more context and around and around it. If I break it down into the market, I think in and around the municipal repair and replacement. As I just said, we think it's a fairly resilient, I would say, less cyclical market. I think certainly, the aging infrastructure, and that's obviously a theme we've been talking about for a long time. But I think certainly the aging infrastructure and certainly, as you see stories across the US where various cities are experiencing the challenges when they see the water main breaks and other things that certainly impact all their citizens. As you know, the funding for water really comes at a very local level. So it's certainly looking at a lot of those local factors for the municipalities, which the aging infrastructure we've talked about, whatever the population dynamics are, overall, the health of the funding as well as it could be water sources as well for those local municipalities. I will comment briefly with the upcoming election. And I think what could we think about with any uncertainty given the upcoming election, I think, overall, the infrastructure the infrastructure bill, as we think about it, generally, both parties have been supportive of bill. Both have been, I think, emphasized the lead service line replacement. But I think as we are in that period, it could be sort of a very, very short-term uncertainty in and around that. To try to delve a little bit deeper on the residential construction market, I think as we overall look at where housing starts are and I know some of the more recent broad-based forecast in and around housing starts, we're probably slightly lower for 2024 from where they previously were. But I think within that single-family housing starts have been stronger than the multifamily, how they start. Certainly, look very closely as you were identifying with the homebuilders and where they are with their lot investments and with their inventory levels. And I think we don't see an overbuilding or get a sense that there's overbuilding with a lot of availability at this point. Probably the one other thing that I'll call out on the -- or two other things I want to call it on the resi side. One is, certainly with residential construction, we see stronger pockets across the US, probably with the South, Southwest and parts of the West, certainly being the stronger areas in terms of residential construction activity. And I think probably the challenge that is out there for the longer term is really the employee construction availability as we look to where demand could be for residential construction as well as demand that could be there with overall the infrastructure bill and the increased construction demand that could come from that.
Mike Halloran: Great. Super helpful. And then net leverage below one, your finish lines is in sight on some of the major capital projects that have been pretty consuming in the last couple of years here. How are you thinking about capital deployment on a forward basis, prioritization change at all? Obviously organic first, but more of the buyback, M&A side and on the [indiscernible] side, what the funnel might look like today?
Marietta Zakas: Yes. So Mike, on that, I'm going to ask Paul to take the question in terms of looking out at overall our views in and around capital investment.
Paul McAndrew: Good morning, Mike, this is Paul. I think you hit the nail, we've made large investments as they come into an end. So obviously, we are vertically integrated as a manufacturing organization, so we have to continue to invest within our four walls of manufacturing facilities. So I think we're in a good position now to continue investment roles, continue to grow from an organic perspective. From an inorganic perspective, obviously, we're looking at all opportunities to deploy our capital to get the best returns. And I think we will continue working those relationships. But in terms of our manufacturing capital, we're going to get back to a kind of normalized level running kind of mid 3.5% to 4% of sales in terms of how we invest, to reinvest in our facilities and new product development.
Mike Halloran: Thank you.
Operator: Our next question comes from Deane Dray with RBC Capital Markets. Your line is open.
Deane Dray: Thank you. Good morning everyone. Maybe we can start with a little level set on some of the demand dynamics this quarter. If you recall, in this last quarter, your fiscal second quarter, you talked about some potential benefit of pull-in from this fiscal third quarter because of a price increase. So, if we were looking for any evidence of that, we certainly didn't see it today in the fiscal third quarter, there wasn't like a gap where sales have been pulled forward. So, just how did that dynamic play out? Does it say anything about the fourth quarter? But be really interested in starting there. Thanks.
Marietta Zakas: Yes. So let me -- I'll kick off with that. And you're exactly right. If you go back to our second quarter call and with the announced and effective price increase that we've had across most of our iron products in the second quarter. We did call out that we felt that we got some pull forward of demand into our second quarter, largely due to the orders the orders that came -- importantly, that came in as a result of the price increase and importantly, our ability to execute on those short-cycle orders, particularly iron gate valves and hydrants, as we've gotten our lead times back down to being more normalized. So with respect to the third quarter and what we saw with the strong net sales growth at about 9%, I think, as we look at the third quarter, we really saw a stronger end market demand than I would say we had expected back in the May time frame.
Deane Dray: Got it. And then, can we put the spotlight on Krausz. This has been a fabulous investment. And just when we think about all the dynamics of the aging water infrastructure, water main breaks, that's exactly where Krausz shines. But how do you address the geopolitical risk given their location? This is not a one-time phenomenon, but you can project this out for multiple years. So, how do you derisk Krausz in terms of where they're located today? And are there any near-term plans to address it?
Paul McAndrew: Hey good morning Deane, this is Paul. Yes. So, just a reminder, the Krausz product line is less than 10% of our consolidated sales and the team have done a fantastic job of derisking not just within country, but other manufacturing location sources perspective. But longer term, we have seen significant improvements in terms of the output from the Krausz facility and we internally are going to have to look at how we can derisk as much as possible. But you are correct in terms of this is a great product line, great acquisition for the company. But the team in Israel has done a fantastic job in terms of how they've been able to pivot and flex and increase production over the last few months.
Marietta Zakas: Yes. And probably, I think the other thing I just want to add on is that we have made the determination for some of the additional investments that we want to make because we are focused as well on meeting our customer demand there. So, we have chosen to invest more there because we are intently focused on the customer demand piece of it. But we do expect that that we will -- as we look into our fourth quarter and beyond, that we will continue to have higher investment in and around the Krausz product line.
Deane Dray: Thank you.
Operator: Thank you. The next question comes from Joe Giordano with TD Cowen. Your line is open.
Joe Giordano: Hey, good morning guys. As you start to think through like what 2025 will look like, the volatility of the guidance here or the last year or so has been pretty high, just given supply chain stuff in the underlying markets, the things going on with the new asset -- the asset refresh. So, like do you feel more confident in ability to like dial it in a little bit tighter now and probably -- I mean, like I guess the underlying markets aren't moving as much as the guidance is moving lately. So, how are you kind of feeling about that and the ability to set like a tighter band into next year?
Marietta Zakas: Well, look, I think, overall, we are very pleased that we've seen the sales growth and the strong margins that we've seen, I'd say, particularly in our second and third quarter this year. I think some of the outperformance, as I just discussed, versus the May guidance that we gave that was driven, I'd say, largely by a few things that I'll tie in. One, as I just said, we think that the end market demand was stronger than we had expected. Coupled with that, I think from an execution perspective, we were able to meet that demand largely with our short-cycle products, and I'll focus here in and around iron gate valves and hydrants. And I think importantly, with that, with the ability to see the order levels come in to have the execution from an operational perspective. And certainly, that represents an important piece of our mix. And so I think that is largely what was one of the factors for the performance that we had in the quarter. So, certainly, as we just discussed, we have seen through the first nine months of this year, a notable improvement in our margins. And I think that improvement is certainly something that we will look to retain and grow from where we are. We had talked a lot about getting back to our pre-pandemic margins. And I think you've seen with the performance through the first nine months of this year that we are above our pre-pandemic margins, looking at gross margin as well as looking at our EBITDA margin at this time.
Joe Giordano: And now that you have the permanent team in place, you have the balance sheet very flexible. Like, how do you think about the growth vectors of like -- what is this company going to look like in the future, right? I mean I think it's fair to say that some of the faster growth technology-type applications have kind of underwhelmed in terms of scaling and in terms of, like, the magnitude of impact that has to the organization. So as you sit here on like a good foundation of core businesses that have big market share, how do you like evolve the company moving forward?
Marietta Zakas: So yes, so as we look out and think about the future, I think first of all, if we look historically, if I go back, let's say, over the last six, seven years, we probably had a net sales growth in and around the range of 6%. I think that's been reflective of both end market strength as well as our ability to manage price realization over that period. With respect to the overall brands that we have, we have got leading brands, as we've long discussed in the marketplace. We are very focused on our customers and the customer experience to continue to strengthen those customer relationships. I think as we look out the future, and I know I just touched on this in one of the questions, I think, in and around the infrastructure bill, which highlights at a federal level, the need for investment in our aging water infrastructure, I think that, coupled with the increasing level of challenges across many utilities. I think that highlights the importance of making the investment in our infrastructure with some additional coming at the federal level, which is important. Operationally, we have been -- we're coming to the end of a period of investment with our three large capital projects. Importantly, I think all those investments have been domestic. And I think that ties in nicely when you look at continued federal initiatives such as the American Iron and Steel Act and the Build America Buy America provisions that we see. I think that certainly positions us well for that. We have talked across our technology businesses and our strength within infrastructure, and we will continue to look to bridge and reinforce our infrastructure with more infrastructure as we look out over the longer term. So I think, as you say, from a capital or balance sheet perspective, we think, in a very strong position, we have no debt that's due before 2029. And with our fixed rate debt, we are currently running at 4%. It gives us a very flexible structure with capacity, and we feel that we are very well positioned and we'll continue to have a focus in and around our capital allocation and capital deployment as well.
Joe Giordano: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Brian Lee with Goldman Sachs. Your line is open.
Brian Lee: Hey. Good morning, everyone. Thanks for taking the questions.
Marietta Zakas: Good morning, Brian.
Brian Lee: Good morning. I guess, first, I had a couple of modeling ones. When we think about the nice execution here in 3Q and then the following guidance for 4Q, you're tracking to sort of high single-digit year-on-year revenue growth. I know pricing, you're mentioning, is quite robust, across all product lines, and you're also talking about a pretty healthy order backdrop. Can you help parse out for us just as we think about -- I know you're not going to give us fiscal 2025 guide, but what are sort of the puts and takes between what you're seeing in terms of volume growth today versus what you're getting on top of what you typically would get in terms of price? Just trying to parse through what is maybe price versus volume at this point.
Marietta Zakas: So I think -- do we need to parse that a little bit? Because certainly, for the full year, with the most recent guide, we're up 0.7% to 1.5%. But certainly, our first quarter, we did see net sales down on a year-over-year basis. And just quickly reverting to that, just reminding everybody that, that down sales in the first quarter was what was continued destocking largely by the distributors, which impacted that piece. I think overall, when we look at our pricing, as we said, we did have a price increase across most of our Iron products that was announced during our second quarter. I think as we said, we did see higher pricing across most of our product lines again this quarter. And importantly, we saw strong volume growth at our Water Flow Solutions. I will call out that on Water Management Solutions, a couple of headwinds there in the third quarter from a volume perspective. One, was hydrants, but again, I've got going into a little bit of history here, and that's really largely due to the year-over-year comparisons because if we go back to the third quarter of 2023, hydrants volumes were still impacted by servicing the higher level of backlog that we continue to carry in 2023. So as we look at the hydrants on a year-over-year basis, volume was down, but we think as we move forward now, we think that, that working from the backlog from 2023 for hydrants had pretty much completed by the end of our third quarter. So now as we look forward, we're really seeing more of the orders and shipments for the short-cycle products being in line with each other. I think -- let me see if I've hit -- so that's it from a volume perspective. So I think as we move into the guidance we've just given from fourth quarter. And I think looking at it on a year-over-year basis, I think we expect to see benefits from both pricing as well as volume. And then I think importantly, as we look out to 2025, but importantly, look beyond, I think it will certainly look to the end markets and where we see continued resilience and demand growth and then our teams as well, we've always been very focused in and around the price/cost relationship with margin preservation to look to have pricing more than cover any inflation that we're seeing and preserve our margin.
Operator: Thank you. The next question comes from Walt Liptak with Seaport Research. Your line is open.
Walter Liptak: Great. Thanks. Good morning, guys. Just wanted to ask about …
Marietta Zakas: Good morning, Walt.
Walt Liptak: Good morning. Just wanted to ask about the demand trends were pretty good this quarter. And you called out kind of customer service levels and doing focus there. I wonder, if you are winning back some market share or if you think the municipal markets are seeing more money flows and more projects?
Paul McAndrew: Hey. Good morning, Walt. This is Paul. Yeah, you're correct. We did see a healthy demand in Q3. From a customer service perspective, we've -- back to normalized lead time levels across the majority of our business. And we continue to take down the service gross backlog and anticipate by the end of Q4 that would be at normalized levels. So from a customer experience perspective, our orders and sales are more or less in parity now, as we kind of drove down our backlog perspective. So from an end user perspective healthy demand, Residential demand, we are at the forefront there with the order perspective. So we think we've positioned ourselves well now with our customers and end users to be giving them the customer service and experience, they deserve. And that's been evident in our healthy demand.
Walt Liptak: Okay. All right. Good. That makes sense. And I wanted to ask too about -- a couple of quarters ago, you guys were talking about the $25 million cost reduction and getting to full benefits. Are we now seeing the full benefits that prior cost reduction? And when do we start anniversarying those benefits?
Steve Heinrichs: Walt, this is Steve. Yeah, you're right. In the third quarter of 2023, we do a restructuring that impacted many areas of our business, including our sales organization and our corporate organization. We took actions to streamline our expenses and also to improve the way we manage our business, giving our business leaders a connection to the sales force and end markets better. We do believe that we achieved the $25 million in annual SG&A savings that we mentioned at the time, mainly in lower personnel-related expenses and third-party fees. And our annual guidance for total SG&A prior to announcing our cost actions was $260 million at the midpoint, which is obviously about $10 million higher than our updated fiscal 2024 SG&A guidance.
Walt Liptak: Excuse me.
Steve Heinrichs: Higher than -- our fiscal 2024 guidance. Going forward, we're going to continue look at SG&A with discipline and make appropriate investments in our SG&A over time. And so we do believe that we deliver and achieve that. As you can see in our guidance, we are guiding between $248 million to $250 million of SG&A. And we're experiencing some inflationary pressures in the fourth quarter, as you can imagine, related to higher incentive compensation and personnel investments that we're experiencing in this quarter. But net-net, we've got improved SG&A performance year-over-year.
Walt Liptak: Okay. Great. And maybe just a last one for me. It sounds like you're winding down the old brass foundry probably right about now or soon. Are there any risks in the fourth quarter with inventory levels or costs or anything like that as you go through that final wind down?
Paul McAndrew: Hi, Walt, this is Paul. You're correct. We're going into the final wind down now, just as a reminder, the new foundry is running the majority of our volume part numbers. The team continued doing a fantastic job, as we transition from the old foundry to the new. So we anticipate between now and the end of calendar year, we will continue the tool in development and the piece part approval of the remaining part numbers being ran in the old foundry. And obviously, it will be a step change then we would take the one ship that we are running in the old foundry and stop that production with the anticipation of doing that by the end of the calendar year. So from a cost impact, we don't see anything in our forecast. But from cost benefit down as we move into FY 2025, Q2 and beyond, I kind of modeled in, the anticipate 80 to 100 basis points improvement to the consolidated financials once we close the South End.
Steve Heinrichs : On a gross margin basis.
Walt Liptak: Oh, that's great. Okay. Yes. Thanks very much for that detail.
Marietta Zakas : Great. Well, look, we certainly thank -- appreciate everybody's participation today. As we said, very pleased with the third quarter results that we posted and our updated and increased guidance as we look out to the full year, I really thank the Mueller team for their continued dedication and hard work. We have made progress operationally, and we will continue to look to make improvements as we can across the business and control what we can control and certainly look to benefit from the federal infrastructure bill as that looks to come into play as well as importantly addressing the aging infrastructure across North America. Thank you.
Operator: Thank you. And that concludes today's conference. You may all disconnect at this time.